Operator: Greetings and welcome to the Check Point Software Technologies' Third Quarter 2015 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Kip E. Meintzer, Head of Global Investor Relations for Check Point Software Technologies. Please go ahead, Mr. Meintzer.
Kip E. Meintzer - Head-Global Investor Relations: Thank you, Kevin. I'd like to thank all of you for joining us today to discuss Check Point's 2015 third quarter financial results. Joining me today on the call are Gil Shwed, the Founder and CEO along with our CFO and COO, Tal Payne. As a reminder, this call is being webcast live on our website and is being recorded for replay. To access the live webcast and replay information, please visit the company's website at checkpoint.com. For your convenience, the conference call replay will be available through November 1. If you'd like to reach us after the call, please contact Investor Relations by email at kip@checkpoint.com or by phone at +1-650-628-2040. Before we begin with management's presentation, I'd like to highlight the following. During the course of this presentation, Check Point representatives may make certain forward-looking statements. These forward-looking statements within the meaning of Section 27A of the Securities Act of 1933 and Section 21E of the Securities and Exchange Act of 1934 include, but are not limited to, statements related to Check Point's expectations regarding business financial performance; customers and products, including expectations for product introductions and enhancements; our expectations regarding the introduction of new products, programs, and success of those products and programs; our expectations regarding demand for our solutions; our expectations regarding expanded investments including hiring across the organization; and our expectations regarding our business and financial outlook including our guidance for Q4 2015. Because these statements pertain to future events, they are subject to various risks and uncertainties. Actual results could differ materially from Check Point's current expectations and beliefs. Factors that could cause or contribute to such differences are contained in Check Point's earnings press release issued on October 26, 2015, which is available on our website, or other factors and risks including those discussed in Check Point's Annual Report on Form 20-F for the year ended December 31, 2014, which is on file with the Securities and Exchange Commission. Check Point assumes no obligation to update information concerning its expectations or beliefs, except as required by law. In our press release, which has been posted on our website, we present GAAP and non-GAAP results, along with a reconciliation of such results, as well as the reasons for our presentation of non-GAAP information. Now, I'd like to turn the call over to Tal Payne for a review of the financial results.
Tal Payne - Chief Financial Officer: Great. Thank you, Kip. Good morning, good afternoon to everyone on the call today. I'm pleased to begin the review of the third quarter. Revenues for the third quarter increased by 9% year-over-year, while non-GAAP EPS grew 12% to $1.04, exceeding the top of our guidance. Before I proceed further into the numbers, let me remind you that our 2015 first quarter GAAP financial results include stock-based compensation charges, amortization of acquired intangible assets, and acquisitions-related expenses and the related tax effects. Keep in mind that non-GAAP information is presented excluding these items. Now, let's take a look at the financial highlights for the quarter. Our revenues reached $404 million, an increase of 9% compared to the same quarter last year. Total revenues from products and software blades grew by 11% year-over-year. We have success in many areas, especially in data center and midsized appliances, as well as all security management products. We continue to experience great success in our software blades which grew by 19%. This growth was led by a continued penetration of our newly introduced Threat Emulation blades, as well as Anti-bot, and application control blades. Our software update and maintenance revenues reached $189 million, representing 7% growth year-over-year. Deferred revenues as of September 30, 2015, was $772 million, an increase of $112 million or 17% over September 30, 2014. As you can see, short-term deferred revenues increased by 13% year-over-year, with a 3% decrease compared to a prior quarter, as seasonably expected. The revenue growth was across all of our regions during the quarter. Revenue distribution by geography for the quarter was as follows: The Americas contributed 48% of revenues; Europe contributed 37%; Asia-Pacific, Japan, Middle East, and Africa region contributed the remaining 15%. From a deal-side perspective, we continue to see strength in our large deals. The number of customers with transactions over $1 million increased by 14% to 50 customers this quarter compared to 44 in the same period last year. Transactions greater than $50,000 accounted for 70% of total order value. During the quarter, we continued to execute in our enhanced recruiting, mainly in sales and R&D teams, and we plan to continue and grow our head count in those departments as we discussed before. Our operating margins decreased to 56% from 58% last year as a result of the increased costs from the enhanced recruiting and the acquisitions earlier this year. Our non-GAAP operating income for the third quarter of 2015 was strong, $228 million, an increase of 6% compared to the third quarter of 2014. GAAP net income for the third quarter was $168 million, or $0.92 per diluted share, an increase of 9% from the third quarter last year. Non-GAAP net income for the quarter was $188 million, or $1.04 per diluted share, up from $177 million, or $0.93 per diluted share, in the same period a year ago. Non-GAAP earning per share grew by 12% and exceeded our guidance. Our cash balances reached $3.612 billion at the end of the quarter. Our cash from operations this quarter was very strong, $228 million, an increase of 13% from $202 million in the third quarter a year ago mainly as a result of very strong collection from customers. We continue implementing our expanded share buyback program during the quarter and repurchased approximately 3.1 million shares for a total cost of $250 million. Now, let's turn the call over to Gil for his thoughts on the third quarter.
Gil Shwed - Founder, Chairman and Chief Executive Officer: Thank you, Tal, and good morning to all of you joining us on the call today. We continue to execute on our plan in the first quarter and delivered excellent (07:47) We continue to focus on securing the future of cyber security. We're launching a big online campaign highlighting Check Point's one step ahead initiative. Our commitment is to stay one step ahead of cyber criminals, one step ahead of the industry, and to provide technology that is one step ahead at all times. You can see great evidence of this in the past quarter. While many in the industry are solely focused on network and PC-based security, we've launched our first Mobile Threat Prevention security solution for our customers. In contrast to other vendors' technologies that provide detection and post-attack analyses, our new SandBlast technology that was announced this quarter prevents the malware before it has the chance to damage the organization. This quarter's introduction of SandBlast Zero-Day Threat Prevention turned into an immediate success as customers embrace the new set of technologies. SandBlast is the only solution in the marketplace that combines advanced sandboxing with our unique CPU-level threat emulation technology and threat-extraction technology restricts file with unknown malware before allowing them into the organization. Another example of our ability to stay a step ahead of the industry demonstrated by our leadership position in the latest NSS Labs Breach Detection test. We scored 100% catch-rate for HTTP unknown malware, 100% for email unknown malware, 100% for drive-by exploit and 100% for stability and reliability test. This test was completed even before the implementation of our CPU-level detection and threat extraction technology into our products. You could compare it to some of the perceived leading vendors in the category; one scored 59% success in most of these tests, and the others simply threatened with legal action if the results were published. We should work harder to expose the difference between marketing hype and technology that actually works. There are several other fronts we've also made progress this quarter. One is cloud security, in particular, our solutions that provide virtual security for private clouds. We launched our vSEC solution for VMware NSX and partnered with VMware to promote it. Mobile devices are becoming the backdoor to the enterprise, and it is critical to address this exposure. We launched Mobile Threat Prevention this quarter, a solution that prevents zero-day malware on smartphones and tablets. Mobile Threat Prevention supports both Android and iOS and has already exposed unknown malware coming for (10:28) our early customers. Mobile security is a Greenfield in the security marketplace. I believe that it presents an important opportunity and we're several steps ahead of the industry here. Many of our investments in advanced technologies have demonstrated good results this quarter. Our first emulation of SandBlast technology, as well as our Anti-Bot technology, has continued to lead the growth of our software blades. (10:59) We're making bigger investments in marketing activities this quarter in the form of campaigns, more customers and partner events in the new CyberDay Conference for C-level executives educating them about the advancement of the fresh landscape in malware research. On the sales side, we significantly grew our worldwide sales team this year. We've added head count in all regions and in key areas such as threat prevention and mobility. Early sign of the increased personnel continue to be quite positive. Our pipeline for new deals continues to increase. The investments we have made are headed in the right direction but, naturally, it takes time for this investment to bear fruit. This brings me to the financial outlook. So, while it is hard to predict the future and there are many factors that can lead to outperformance or underperformance, that must be taken into consideration. For the fourth quarter, we expect revenues in the range of $440 million to $470 million. Non-GAAP EPS is expected to be at the range of $1.10 to $1.18 per share. GAAP EPS is expected to be approximately $0.12 less. This includes the effects of our recent acquisitions. For the full year, that translates into revenues in the range of $1.612 billion to $1.642 billion with non-GAAP earnings per share in the range of $4.08 to $4.16. GAAP EPS for the year is expected to be approximately $0.45 less. With that, I'd like to thank you once again for joining us on the call today and open the call for your insightful questions.
Operator: Thank you. At this time, we'll be conducting a question-and-answer session. Our first question today is coming from Brad Zelnick from Jefferies. Please proceed with your question.
Brad Zelnick - Jefferies LLC: Thanks very much and nice quarter, guys. On margins, margins in Q3 were higher than you last guided us to, and also the margin that you've guided for Q4 also looks above what The Street's expecting. And it begs the question, Gil and Tal, are you investing enough? Are you able to hire at the rate you need to? Because it feels like there are others in the market taking a longer-term view, spending like crazy, incentivizing the channel. Why not spend more today to acquire customers that you can renew and refresh in the years to come?
Gil Shwed - Founder, Chairman and Chief Executive Officer: I think, first, that's a very good insight and we'll definitely take it into consideration. I think this year we were aided a little bit by the strength of the U.S. dollar that resulted in a better-than-expected margin because our non-U.S. expected became lower. And I think the main focus that I have is to be effective. Every person that we hire should be effective. We should build the right operational structure to do that, but we're definitely taking that comment into consideration, and we will positively consider to invest even more.
Brad Zelnick - Jefferies LLC: Thank you. And just one – a follow-up, if I could. Tal, can you remind us, clients as a percentage of product revenue, it's a data point that I don't think we've asked about recently. And is there a reason to believe, as the world moves to public cloud and virtualized infrastructure, that we may see trends over the last decade actually move in the opposite direction? Do you think you'll see, over time, customers may be taking more software and virtual product and less hardware?
Tal Payne - Chief Financial Officer: So first, I will say, we stopped reporting because it's, by far, the majority. So it was relevant when it was 30%, 70%. It's way over 90% by now. So, I would say majority of our products' revenues and bookings are relating to the appliance. Software Blade is naturally part of our total products in Software Blade revenues, but all of it is software, naturally. And you're right, even if we see a (15:29) significant trend of people moving into cloud. This can go back and increase the portion that is not attached to a headline.
Gil Shwed - Founder, Chairman and Chief Executive Officer: And, in this quarter, in particular, I think we did see the revenues from software actually going quite up a little bit.
Tal Payne - Chief Financial Officer: Yeah. But it's marginal for the total number.
Gil Shwed - Founder, Chairman and Chief Executive Officer: Yeah.
Brad Zelnick - Jefferies LLC: Thanks very much.
Operator: Thank you. Your next question today is coming from Shaul Eyal from Oppenheimer. Please proceed with your question.
Shaul Eyal - Oppenheimer & Co., Inc. (Broker): Thank you. Hi. Good afternoon, guys. Two quick questions on my end. Tal, can you rank for us, you always do, the blade this quarter? Clearly, a lot of progress on the Threat Emulation and the Anti-bot, but just want to see where we stand with some of the other blades?
Tal Payne - Chief Financial Officer: Yes. So, I would say, if you recall, we always say that in terms of size, IPS is the largest one, then Application Control, then we have the URL filtering, anti-spam, depends which quarter; but five and six are now Anti-bot, and the Threat Emulation, I'll say now there's a fair competition between the two. Threat Emulation is growing very nicely, way over 100%, and increased significantly the number of the customers that acquired this quarter, either the appliance (16:46) or the cloud service on the Threat Emulation. We see a very nice success both in booking and naturally translates into revenues over time. Also, a number of customers that are using the blade and in the POCs that we see in that area. So, Threat Emulation is definitely growing fast. And I won't be surprised if next quarter that will be the number five blade.
Shaul Eyal - Oppenheimer & Co., Inc. (Broker): Got it. And in that context, Hyperwise and Lacoon, and Gil mentioned the endpoint, Gil also mentioned the cloud, what can you tell us about the integration of both this recently acquired assets?
Gil Shwed - Founder, Chairman and Chief Executive Officer: The integration is going very well, and just this quarter, we introduced the SandBlast which already include the Hyperwise technology, and we introduced the Mobile Threat Prevention that is based on the Lacoon technology. So, I think within less than six months, we were able to complete the product integration, launch the product, and start much more proactive integrated sales efforts.
Shaul Eyal - Oppenheimer & Co., Inc. (Broker): Thank you. Good luck.
Operator: Thank you. Our next question today is coming from Walter Pritchard from Citi. Please proceed with your question.
Walter H. Pritchard - Citigroup Global Markets, Inc. (Broker): Thanks. Just a follow-up on Brad's question, Tal or Gil, you noted that U.S. dollar is helping you out from an expense perspective. Could you just clarify what the constant currency OpEx growth is so we can make sure we understand how to factor that in going forward? And then, I guess, Tal, when we saw you last conference, you talked about wanting to see the return from investments that you were making in order to decide whether or not it made sense to invest at a heightened rate going forward. Could you help us understand what signs that you're seeing so far that either encourage or maybe dissuade you from continuing this elevated level of investment and how we might think about that as we look into future quarters?
Tal Payne - Chief Financial Officer: Sure. I'll first relate to the dollar versus the different currencies around the world and their effect. It worked well for us this year, the dollar got stronger versus most of the currencies. Throughout the main currencies, the number one, the Israeli shekel; number two, the euro; and both of them got weaker versus the dollar, so it helped. Probably this quarter, $8 million or $10 million even. Bear in mind that this is a simplified way to look at it because the only thing we can calculate clearly is the effect on the expenses, but I have no doubt that the effect on the revenues were significantly larger and it's actually hurting us because customers around Europe, if they lost 15% or 20% of the budget, their spending habits are affected and probably the growth in the booking are affected by that. So, net-net, I'm not sure we gained from the dollar. On the expenses we did on the booking and the revenues, I'm sure it's actually slowed down the growth. So, that's in terms of the dollar effect. When it comes to the spending, we said – we came out in the beginning of the year, we said we're going to invest significantly both in R&D and in sales. We started to see a very nice growth in the pipeline. We said it's going to take time to see the effects of the booking. We set the expectation that it will start to effect next year. You're right when you say that – and I think there was a question of one of the analyst before when he said, regarding competition, continue to invest. So, of course, we are in the market that everybody continuing to invest heavily which is relating to the question, when we get to that, we need to pass Q4 to see where we are at the end of the year and make the decision regarding the continued investment next year and how strong it's going to be. It's a bit too early to discuss that at this point of time.
Kip E. Meintzer - Head-Global Investor Relations: Next question.
Walter H. Pritchard - Citigroup Global Markets, Inc. (Broker): Thank you.
Operator: Sure. Next question today is coming from Gregg Moskowitz from Cowen and Company. Please proceed with your question.
Gregg S. Moskowitz - Cowen & Co. LLC: Okay. Thank you very much. Tal, your seven-figure deal activity was healthy again. Although it was a bit unusual to see the dollar value of bookings over $50,000 decline by a couple of points as a percentage of total, just looking over year-to-year basis, does that reflect more traction with your small business appliances, or is there another dynamic that we should be aware of?
Tal Payne - Chief Financial Officer: So, no dynamic. I always say that I provide it to you because you used to get it. But I don't think it's an important data. So, I give it to you. It's moved from 72%, 71%, 72% to 70%. It's pretty much similar. So, nothing relevant.
Gregg S. Moskowitz - Cowen & Co. LLC: Okay. And then, Tal, last quarter, I think you had mentioned that you saw slightly increased discounting levels. I was wondering how you would characterize the third quarter activity just as it relates to pricing. Thank you
Tal Payne - Chief Financial Officer: I would say similar. You see – for the last two years, you see certain quarters with slightly more discount. Q3, by the way, because it's always a very slow quarter, everybody is on vacation, so you typically see slight increase in the discount there. We did see some increase there, but again, nothing over dramatic.
Gregg S. Moskowitz - Cowen & Co. LLC: Okay. Great. Thank you very much.
Operator: Thank you. Our next question is coming from Philip Winslow from Credit Suisse. Please proceed with your question.
Philip A. Winslow - Credit Suisse Securities (USA) LLC (Broker): Hi. Thanks, guys, and congrats on a good quarter here. I just have a question on product revenue and, really, sort of the pricing environment that you're seeing out there, as well as the sort of the demand environment as well. I mean this is the, I think, seventh or eighth consecutive quarter of accelerating product growth and accelerating revenue growth. Within that sort of backdrop, what is the pricing environment that you're seeing versus competitors? And what is the general sort of in-demand environment look like?
Gil Shwed - Founder, Chairman and Chief Executive Officer: First, I don't think that the main competition is driven today just by the price. Of course, the markets remains very competitive and I think it's a great market for making vendors compete for their customer. But I still think that most of the wins should come from the value that we provide and in, many cases, the dollars (22:59) provide. And in that respect, we remain in a very competitive market. I think the level of competition in our marketplace is higher than it's been several years ago.
Philip A. Winslow - Credit Suisse Securities (USA) LLC (Broker): Yeah. I got it.
Tal Payne - Chief Financial Officer: I will just add there's two phenomenas right now. On the one hand is more competition which we can all see; on the other hand, it's a good market, it's a strong market. There's more demand, there's more win, there's more events occurring that make customers rethink their security infrastructure. So, you have also many new opportunities. That's why if you recall, we discussed the focus for this year when we said we believe mobility in the long run when it became a big market, that's why we want to be a leader there. That's why we have technologies right now including the CPU-level that is ahead of the market and the Threat Emulation or zero-day attack/Anti-bot that we are ahead in terms of the quality of the solution and we would like to continue pushing there. So, I think there's many exciting opportunities out there. And naturally, in a good market, you see more competition. So, it's working both ways.
Philip A. Winslow - Credit Suisse Securities (USA) LLC (Broker): Got it. Thanks, guys.
Operator: Thank you. Our next question today is coming from Michael Turits from Raymond James. Please proceed you question.
Michael Turits - Raymond James & Associates, Inc.: Hey, guys. Good morning – or good afternoon, I guess. Can you talk about the geographies a little bit and maybe you can talk to them relative to bookings since we only see them on a revenue basis? But it did seem as if – if I calculate it, the Americas did slow. Was there any slowing in U.S. enterprise, because we did some deceleration in your revenue growth rate there?
Tal Payne - Chief Financial Officer: I can start and then Gil can add. So, what we see is like we see every quarter, different colors in different regions. I would say, we've seen Europe was very strong; product revenue, strong, double digits. We saw a very nice Asia-Pacific growth, pretty much across the countries. In the U.S., we saw a nice growth in many regions. We've seen some regions that had slower growth. In total, you can see in the revenues, it's moved single-digit – higher than mid-single growth, but not as fast as the other regions this quarter. Bear in mind that many of the significantly large multi-year contracts is coming from the U.S., so it can affect the booking and fluctuations there.
Michael Turits - Raymond James & Associates, Inc.: Okay. And just to get it straight, did you say – Europe, you said was strong. I thought, Tal, just to be clear, you said that I think the stronger dollar was having a negative impact in bookings. Obviously, billing in local currencies has been dollars. So, can you clarify that especially since Europe was strong?
Tal Payne - Chief Financial Officer: Sure. Sure. I said that the numbers could have been significantly higher if you won't have the effect of these currencies around the world. Having said that, they still did very nicely, both in EMEA (25:48) and in Europe.
Gil Shwed - Founder, Chairman and Chief Executive Officer: We can only speculate that if the euro was strong, then our result in Europe would have been, I don't know, 10%, 15% even better based on speculation. But definitely for the customers in Europe, their budgets have eroded (26:02) in terms of dollars.
Michael Turits - Raymond James & Associates, Inc.: Yeah. I don't know, I was a little hard to hear. Just on the U.S. side, you said some regions up, some regions down. Just, could you clarify that for us because some of your competitors reported weaker U.S. enterprise this quarter.
Tal Payne - Chief Financial Officer: Sure. No. I said that we say every quarter. So, in the U.S. and both in Europe and (26:23) it's not a one clear picture, all the regions all the time growing. This quarter, like you see in many quarters, you saw some regions did very well, double digits, and some region did less. So...
Gil Shwed - Founder, Chairman and Chief Executive Officer: Within the U.S.
Tal Payne - Chief Financial Officer: Within the U.S., I'm talking. Yeah, sorry, for the clarification. So, it's within the U.S., some region did better than the others. And in general, Europe was the one that was stronger this quarter.
Michael Turits - Raymond James & Associates, Inc.: Okay. Thanks very much, guys.
Operator: Thank you. Our next question today is coming from Daniel Ives from FBR. Please proceed with your question.
Daniel H. Ives - FBR Capital Markets & Co.: Yeah, thanks. Gil, do you – in terms of just what's happening in the market, I mean, are you seeing any changes competitively where you're seeing vendors go to maybe more suite-based vendors with a broader platform especially as you go higher into the enterprise, just given some of the weakness we've seen from some of the smaller players in security over the last month or two?
Gil Shwed - Founder, Chairman and Chief Executive Officer: Not really. Again, the markets remain very competitive, but I don't see that there are vendors that have broader suites that cover additional areas on security. I think quite the opposite. I think we see a lot of vendors that are specializing in a certain area. I do believe that we do offer a broad platform for the network security needs and I think we're broadening that platform today also for the mobile space. But I don't see that in that regard, the market landscape changing.
Daniel H. Ives - FBR Capital Markets & Co.: And just in terms of acquisitions, is there any – especially going into 2016, maybe reiterate or just any change in sort of thoughts there as some of these maybe private vendors are struggling. Is that an opportunity for you guys to pick up more technology, expand the suite, how are you thinking about building it versus buying it. Thanks.
Gil Shwed - Founder, Chairman and Chief Executive Officer: Short answer is, yes, I think there are more opportunities today. I think in the last few months, I've seen a little bit at the high level slightly more opportunities. I think the evolution of many, many cyber security – I mean, I look at those large companies, we can see some trends in the marketplace that shows that there may be theoretically more opportunities for us there. If I look at the other part of the market, more technology acquisition, clearly the fact that there's many, many, many cyber security companies means that some of these companies are going to be for sale. Most of them won't be able to survive on a stand-alone basis. And eventually, we will be able to acquire more technology. I think this year we acquired two pretty dramatic technologies, and I think they will – they are at the very critical area of our strategy for prevention and mobility.
Daniel H. Ives - FBR Capital Markets & Co.: Thanks, guys.
Operator: Thank you. Our next question is coming from Saket Kalia from Barclays. Please proceed with your question.
Saket Kalia - Barclays Capital, Inc.: Hi, guys. Thanks for taking my questions here. First, just a tactical one for Tal. Tal, did you see any change in renewal or catch-rates on software blades or maintenance in the quarter? It looks like sort of billings from subscription and maintenance slowed down a little bit from what you'd been doing previously, sort of in the double digits. So, is this the law of large numbers or something else?
Tal Payne - Chief Financial Officer: I think it's law of large numbers. And also, remember, you can see it very clearly when you look at the deferred revenues long-term. You see the short-term grew 13%, which is quite nice, right? When you look at the long-term, it grew 9%; while in Q3 last year, it was 21%. So, obviously, the long term can fluctuate. That's why I always say, long-term contract can fluctuate. They can be quite significant. And you can see it very clearly when they're coming in because it's a big number that comes into the numbers. This quarter, we had less long-term contracts. Not surprisingly, this is Q3 as well, don't forget. But it can even happen in Q4 in any quarter just because it's the nature of the business. It can go up, it can go down, and it can fluctuate. You can have contract of $20 million or $30 million or $10 million that can change the number. So, booking – and by the way, that's the reason why we don't report booking because it can be misleading to the run rate of the company.
Saket Kalia - Barclays Capital, Inc.: I see. So, just to clarify that, you're saying sort of the sequential increase in long-term deferred wasn't as big as maybe you saw in last Q3 because of some of those large-term contracts and that maybe impacted the year-over-year, is that sort of the right way to think about it?
Tal Payne - Chief Financial Officer: Yeah. You can see that the year-over-year last year, the short term – let's look. Q3 last year, the short-term grew year-over-year again, right, in 9%. And actually, this quarter, year-over-year is growing 13%. When you look at the long-term deferred revenue, last year it grew in 72%, right? And this quarter, it grew in 38%. So, naturally it's affected the growth there. So, there's long-term (31:24) and the fact that we do know that we had less multi-year contract this quarter just as a fact, right?
Saket Kalia - Barclays Capital, Inc.: Got it. That's very helpful. And then, maybe a strategic one for you, Gil. The focus on mobile security is very evident in all the product announcements on the call. I guess, longer term, how do you sort of see the ecosystem for mobile security playing out, particularly regarding some of the handset makers and app developers? How does that sort of play out and where do you see Check Point sort of in that ecosystem?
Gil Shwed - Founder, Chairman and Chief Executive Officer: I think it's a little bit early to predict. There are vendors on the – I think, generally speaking, like in any platform that I've seen in the computing space, there are vendors that worry about providing better operating system, better application, and there should be vendors that worry about securing the whole infrastructure. And that's almost never the focus of the developers themselves. I think that we have an important role in that within the space of mobility, there are other solutions like solutions for device management, what's called MDM today, that are I think very complementary to what we are doing, but I think they're sometimes mistaken for security. They are not security, they are device management. There are containers that will – that allow companies to separate between the business data and the private data, and also help a little bit in securing data. I think we have one and I think ours is as good as others and maybe better in some areas, but that's a space that already exists. The space I think that we are pioneering is the most important one in the space for blocking malware that gets over our phone, and that malware is the most dangerous. That malware basically listens and feels and watches everything that goes around us from this conversation to the data that's flowing through the device, to the data by the way that can go on the company network. Remember, when you hold your cell phone inside the company network, you can be an interception point for the network traffic inside the company. And these devices, as you know, they're ubiquitous, they're everywhere, and they send data all the time. They're always connected and they are usually connected not through the company network. So, that's why it's so important to secure them. And I think it's pretty easy to show how these devices are becoming a huge security threat and they are. I mean, we are seeing real attacks in the real world. And I think unfortunately, the level of where it is today is too low for that and it will – I think it will change.
Saket Kalia - Barclays Capital, Inc.: Understood. Thanks so much, guys.
Operator: Thank you. Our next question today is coming from Karl Keirstead from Deutsche Bank. Please proceed with your question.
Karl E. Keirstead - Deutsche Bank Securities, Inc.: Thanks, Gil and Tal. Wouldn't mind just asking about the 4Q revenue guide? I think the midpoint assumes 8% to revenue growth. I'm just curious what are the key assumptions that are informing that guidance? Are you assuming some lift from the sales rep build-out in the first half? Are you assuming perhaps some caution as certain geos around the world are a little bit soft? Maybe love to get some color on your thinking into that guide. Thank you.
Gil Shwed - Founder, Chairman and Chief Executive Officer: I think into that forecast, first, we had the range, but also in that forecast, I think, we're taking many data points. We're taking some run rates that we've seen. We're mainly taking the forecast of our salespeople. We're taking other plans that we've made and things that we see in the industry. Based on the number itself, we are – I think it's a good and healthy number and there's a nice range in it. But we're not obviously taking into that huge contribution from the increased sales force. I think reps will still have time to come in the future.
Karl E. Keirstead - Deutsche Bank Securities, Inc.: Okay. Thanks. And then, Tal, if I could ask you on the CapEx guide. I think on a prior call, you had hinted it could come in at $40 million but it will be quite lumpy given that there's some facility build-out. So, it looks like in the third quarter, it came in a little bit lighter. So, maybe it's just a function of some of those CapEx expenses getting pushed out a little bit. Could you update us on CapEx this year and, if possible, next year? Thank you.
Tal Payne - Chief Financial Officer: Yeah, I would relate specifically to the CapEx. There was the extraordinary, which is building the building, and I said, it's going to be not $40 million, but actually $60 million.
Karl E. Keirstead - Deutsche Bank Securities, Inc.: Okay.
Tal Payne - Chief Financial Officer: I said, it has to do with the timing of the buildings, and the best assumption I could give you in the beginning of the year is $30 million this year and $30 million next year. You can see, we have less this year because it takes – most of the payments will actually come more towards next year. So, maybe the new distribution will be $60 million in total this year and $45 million next year. That's the best update I can give you now.
Karl E. Keirstead - Deutsche Bank Securities, Inc.: Okay. Very helpful. Thank you.
Operator: Thank you. Our next question today is coming from Sterling Auty from JPMorgan. Please proceed with your question.
Sterling Auty - JPMorgan Securities LLC: Yeah. Thanks. Gil, when you look at threat emulation and SandBlast and Anti-Bot, in terms of customer adoption, are these solutions that are being purchased after RFPs or do you find that customers, as they're going through their normal refresh cycle or just buying pattern on firewalls, just are adding it on because it's an area that they want to add?
Gil Shwed - Founder, Chairman and Chief Executive Officer: I think it's all of that. There's few companies that have RFPs. Many companies, when they do their refresh cycle or when they look at new technologies, have the opportunity to think about introducing new technology. And I think it will continue that way. I think overall, the adoption-level of these technologies like sandboxing and so on is still too low in the marketplace in my opinion. I mean, when you look at the threats, when you look at the attacks that did happen, when we look at all the layers of security that we can provide, customers are not protected today. Customers don't do the maximum that they can in order to get the layers of security that they need. And that I think calls for all the marketplace to – on one hand, the awareness level is high and the activity level is high. On the other hand, especially – actually both midsize and large companies and small companies don't translate it into actual buying or infrastructure deployment.
Tal Payne - Chief Financial Officer: I would just add...
Sterling Auty - JPMorgan Securities LLC: And do you find that their...
Tal Payne - Chief Financial Officer: Yeah. So, I was just going to add that – remember that the – as a result of the consolidation and the ability to portray many or most of this blade on one platform, one appliance, it creates ability for us to give better price for the customer, not only in terms of dollars but also its ability to manage all these different security solutions on one platform which is much simpler. And therefore, creates many of this blade's elasticity in the market that increase the demand because many customers now can afford it both in terms of management capabilities and also pricing.
Sterling Auty - JPMorgan Securities LLC: Right. And is there – do you have a sense yet whether customers that have purchased these solutions are actually turning off other legacy, whether it be intrusion detection or other signature-based technologies that they're kind of replacing with these solutions?
Gil Shwed - Founder, Chairman and Chief Executive Officer: Yes. I think that they do. I think we are seeing – the good evidence for consolidation is, I think, let's say whole (38:53) IPS industry the very big decline and almost all the new solutions that are purchased are (39:07) integrated into a consolidated platform.
Sterling Auty - JPMorgan Securities LLC: And last quick question. Tal, in terms of the multiyear contract, what are the solutions that are most prevalent in terms of customers when they choose a multi-year option?
Tal Payne - Chief Financial Officer: It really, most from the time, relates to their budget and what's comfortable to them. Sometimes it could be just the updated maintenance that they take, instead of one year that takes two or three or maybe four. So, it relates to budget of customers. Now, we do see a lot also in the Software Blade where customers are taking multiyear contracts.
Gil Shwed - Founder, Chairman and Chief Executive Officer: And it's mainly large view. (39:39)
Sterling Auty - JPMorgan Securities LLC: Okay. Thank you.
Operator: Thank you. Our next question today is coming from Rob Owens from Pacific Crest Securities. Please proceed with your question.
Rob Owens - Pacific Crest: Thank you and good afternoon, guys. Tal, I wasn't exactly clear around your geo commentary earlier. And as I look at the America, it's decelerated for the last year. I understand there's a difference between bookings and then how we see revenue. But can you just give us some color in terms of what you're seeing why that has decelerated for the last year and what current bookings rates look like? Thanks.
Tal Payne - Chief Financial Officer: I don't think it does. And you're right. It's a different picture between the revenues and the booking. In the revenue, I think it was a pretty much in the – between the 5% to 10% over the last year, so I don't think there was anything major there. Bear in mind that we talked about competition, and we talked about some price pressure that can also slightly affect the growth rate in those regions.
Rob Owens - Pacific Crest: So, are you seeing more price pressure in the U.S. than you are in Europe at this point? Because Europe has accelerated nicely on a year-over-year basis.
Tal Payne - Chief Financial Officer: No, there were similar pressures all along.
Rob Owens - Pacific Crest: Okay. And then second, can you update us on what renewal rates look like for your different blade offerings, whether those were attached or purchased on a single basis?
Tal Payne - Chief Financial Officer: Can you repeat the question?
Gil Shwed - Founder, Chairman and Chief Executive Officer: The renewal rates per blade.
Rob Owens - Pacific Crest: Renewal rates per blade.
Tal Payne - Chief Financial Officer: So, the referencing – that remains similar. Again, remember the majority of our Software Blades are already the unbundled, right. So, it's not the bundled with the appliance. Majority is the unbundled . And majority of the unbundled is, obviously, renewed and we see similar in renewal rates.
Rob Owens - Pacific Crest: Great. Thank you.
Tal Payne - Chief Financial Officer: Thank you.
Operator: Thank you. Our next question today is coming from Alban Cousin from Arete. Please proceed with your question.
Alban Cousin - Arete Research Services LLP: Hi. Thanks for taking my question. Just a very quick one on the gross investment level in the business. So, I was wondering whether you could just give us a sense of how staff or head count had evolved year-over-year that might give us – help us understanding a bit what's happening behind the FX changes.
Gil Shwed - Founder, Chairman and Chief Executive Officer: I think we've added a little bit more than 600 people to our head count since the beginning of the year. It's about – it's roughly 20% increase compared to Q3 last year in the overall head count in the company. And I think we'll keep investing in hiring people. The hiring patterns are different between quarters. For example, in the first half, we focused more on hiring sales people. In the last quarter, we've hired – focused more on hiring other functions that, by the way, it's a function of multiple things. Part of it, for example, is that a lot of the developers we are hiring are graduates and they just finished their school year in the third quarter, but that varies. And I think we will continue to hire more people.
Alban Cousin - Arete Research Services LLP: Great. Thank you.
Operator: Thank you. Our next question today is coming from Jonathan Ho from William Blair. Please proceed with your question.
Jonathan F. Ho - William Blair & Co. LLC: Hey, guys. Just wanted to understand, going back to the impact from currency, like are you seeing that show up a little bit more in terms of maybe customers buying smaller boxes or smaller deployments than they usually would, or is this showing up a little bit more on the subscription side in terms of either a la carte blades or blade packages that they're trading up to?
Tal Payne - Chief Financial Officer: I would say, first, more of generic answer, remember this is Q3. Q3 is one of the weakest quarters of the year. Most of the quarter, people are on vacation. So, I wouldn't conclude too much in any area based on Q3. That's one comment. Having said that, if you look at the last year or even two, you'll see that, usually, when we talk about which appliances led the growth, it typically actually comes from data center and the high-end. This quarter, it was both data center and the mid-sized appliances. So, I wouldn't say we see them going to smaller boxes because of budget constraints. I don't think so.
Jonathan F. Ho - William Blair & Co. LLC: Got it. And then, should we look at some of the channel investments that you have made? Can you talk about maybe where you felt, in particular, success? Maybe what segment of the market you're seeing in those investments pay off and where you see sort of additional opportunity to invest?
Gil Shwed - Founder, Chairman and Chief Executive Officer: I think it (44:22) it varies every quarter. Last quarter, for example, in security management, data center and in the mid-sized appliances, we saw great success. In other quarters, we've seen more enterprise-grade appliances. I think the one thing that remains actually quite strong is the data center appliances, for us that remained in the last few quarters very consistently going well. The average of shift in some quarters, the mid-sized were better; in some quarters, the enterprise-grade were better; in some quarters, the super-data centers, the telco-grade equipment was better. So, that really varies. And in terms of areas of investment, I think all these areas are good areas for investment. I think we are also investing in – we're looking at verticals, we are looking at critical infrastructure. We are looking at the data, the cloud – the data center, it's a new area – it's a new focus area for us. And I think what I've already said many times, mobility and threat prevention are areas that we invest. So, these are kind of the four major areas that we are invested.
Jonathan F. Ho - William Blair & Co. LLC: Great. Thank you.
Operator: Thank you. Our next question today is coming from Matt Hedberg from RBC Capital Markets. Please proceed with your question.
Matthew Hedberg - RBC Capital Markets LLC: Yeah. Thanks. Gil, I wanted to circle back on SandBlast. In your mind, how does it differentiate versus other APT solutions out there? And over time, would you expect pricing to be more commoditized for this? I think there's some that believe that APT gets more pronounced, so you're seeing further consolidation in price points there? Thanks.
Tal Payne - Chief Financial Officer: The question is do we expect to see commoditization in the pricing of the threat emulation?
Matthew Hedberg - RBC Capital Markets LLC: Correct. Yeah – over time. And, I guess, the key differences that you're seeing versus competitive solutions.
Gil Shwed - Founder, Chairman and Chief Executive Officer: So, I think in terms of the price, I don't know, I think our price is very reasonable because we don't sell standalone, super-expensive infrastructure. The incremental cost of infrastructure is actually quite reasonable. In terms of the differentiator, I think there's a big difference in what we are seeing. First, the CPU-level threat prevention knows how to detect threats that are not detected by any other solution because it happens before the threat actually happens. I think our overall catch rate, and I think we've proven it, is quite good and the NSS test last quarter was very indicative on that and that's a good thing. I think in terms of the deployment option, we have more deployment options. It can be on our cloud infrastructure, it can be on a dedicated appliance service customer. One threat, by the way, that we see a trend in Europe, people prefer the in-house appliances, I think for concern of privacy and exporting their data in the U.S. Most people prefer the cloud service, which is very economical and very easy to use; it's a utility. And so, that's another trend. I think the biggest – well, actually, the two critical differentiators that we have, a differentiator through model solution is relatively fast (47:26) that we actually block the threats. Our Threat Extraction technology allows companies to transfer the files very quickly without – with minimal delay, delay of seconds, which is not – again, not meaningful, while stripping the unknown malware, and that's unique to our Threat Extraction. In the overall threat sandboxing technology that we have, it doesn't transfer file until they are being tested. That's not the case with most of the other competitors. Most of the other competitor products are either designed or used in a way that, first, lets the infected file come through. This file might cause damage. And half an hour later or two days later, you get a report that says you've been infected. I don't think that's the effective way of doing security. And I think that's a big differentiator that we have across our products. We prevent the damage from happening. Many other vendors that call it threat prevention actually allow the damage to happen and report to you after the fact. That, I think, is the most – the biggest item that we have.
Matthew Hedberg - RBC Capital Markets LLC: Thanks, Gil.
Operator: Our next question today is coming from Scott Zeller from Needham & Company. Please proceed with your question.
Scott Zeller - Needham & Co. LLC: Hi. Thanks. A two-part question. So, the first is, I think a number of us on the line are questioning what's going on in the U.S., based on what we're hearing from your competitors and also around field discussions. Can you comment on whether or not what we're seeing is more of a move back to typical behavior and maybe moving away from hysterical buying that we've seen in the past several quarters – more moving back to a normal seasonality. And then the second part is, given what I just mentioned, do you still have confidence in the typical seasonally strong 4Q move in buying?
Gil Shwed - Founder, Chairman and Chief Executive Officer: I think when seasonality next quarter – how seasonality shakes out between the quarter, I think the behavior that we're seeing from other vendors, better to ask them or their customers why do they have very big changes in behavior?
Scott Zeller - Needham & Co. LLC: Okay. Thank you.
Operator: Thank you. Our next question today is coming from Gray Powell from Wells Fargo. Please proceed with your question.
Gray W. Powell - Wells Fargo Securities LLC: Great. Thanks for taking the question. If you had to estimate from a market perspective, what percentage of enterprises do you think are running multiple functions like IPS, URL filtering or APT detection on one firewall appliance today? And then, where do you see penetration of platform solutions going longer term?
Gil Shwed - Founder, Chairman and Chief Executive Officer: I think if you talk about the first, IPS URL filtering, I think it's today more than 50% of enterprises. Still not 100%, but I think probably more than 50%. If you are looking on APT detection, I think most companies – it's single digit, so I don't know if it's 1% or 5%, but it's a low number of complaints today.
Gray W. Powell - Wells Fargo Securities LLC: Okay. And then just kind of asking the same question from a different angle, what percentage of your customer base is just running a naked firewall with no blade description attached?
Tal Payne - Chief Financial Officer: I will say that many customers, since we introduced the Software Blade, are buying bundled package. It depends which blade. But I can say it can run from – depends on which blade, from 5% to 35% or even 40% if you get to the IPS. So I'll say majority still don't have most of our blades. Therefore, they represent a really nice opportunity for us.
Gray W. Powell - Wells Fargo Securities LLC: Got it. Okay, thank you very much.
Tal Payne - Chief Financial Officer: Thank you.
Operator: Our next question is coming from Shebly Seyrafi from FBN Security. Please proceed with your question.
Shebly Seyrafi - FBN Securities, Inc.: Yes. Thank you very much. So, your product gross margin increased nicely at 82.0% from 80% and change in the first half of this year. Can you talk about what drove that and how sustainable that is. You did note that your – I guess, your high-end appliances did well, data center appliances did well. Do you expect that to continue to be the case? Thanks.
Tal Payne - Chief Financial Officer: I think when you – if you talk about the total gross margin, then obviously, Software Blades increase in strong double-digit and product – let's say, product was 8%, 9%, 7% depends which quarter. If you talk about the Software Blade, it's 20% on average this year. Software Blades carry much higher margin. If I recall, Software Blade is around 97% margin. So naturally, Software Blades take bigger portion of the size, then the margin can go up. So, I think it depends what drives the growth faster in that specific quarter or in that specific year.
Shebly Seyrafi - FBN Securities, Inc.: Okay. And also, on your unit growth, can you talk about unit versus ASPs last quarter.
Tal Payne - Chief Financial Officer: Actually, they both grew. The ASP, usually steady. So there's nothing dramatic in the ASP. It depends. The ASPs can be affected by the mixture of the product. So, let's say, ASP per product remain stable in general, the mixture depends. So you remember, this quarter, we had a lot of mid-sized nice growth, so that can pull the average slightly down. But in general, we see stability there.
Shebly Seyrafi - FBN Securities, Inc.: But what about units, unit growth?
Tal Payne - Chief Financial Officer: Yeah. We saw a nice growth. Yeah. We just don't report the breakdown.
Shebly Seyrafi - FBN Securities, Inc.: Okay. Thank you.
Operator: Thank you. Our next question today is coming from Fatima Boolani from UBS. Please proceed with your question.
Fatima Aslam Boolani - UBS Securities LLC: Good afternoon. This is Fatima on for Brent Thill. Thanks for taking the question. I just wanted to go back to your comment around the majority of your installed base not having most of your blades and that being a good opportunity. I'm wondering to what extent the investments you've made year-to-date have impacted new customer acquisition. So, if you can help us understand what the new customer acquisition pace has been this quarter and the last couple of quarters and how their typical initial purchase compares to that of purchased from the installed base.
Gil Shwed - Founder, Chairman and Chief Executive Officer: I think every quarter we add a few thousand new customers. We don't report that number, but I think we have a much broader potential to acquire even more new customers. And I think some of our new technologies are going to be appealing to new customers. And I definitely think that we can do more on that. But I think overall, if you look, we have pretty healthy number of new customers joining at every quarter.
Fatima Aslam Boolani - UBS Securities LLC: And a quick follow-up from me, if I could. You had introduced some industrial control system security appliances earlier on this year. And I'm wondering if you can help us think about the opportunity here. And why this isn't really a focus for critical infrastructure companies? And that's it for me. Thank you.
Gil Shwed - Founder, Chairman and Chief Executive Officer: I think it's absolutely the potential for a critical infrastructure. The industrial appliances that we have are targeted as critical infrastructure, I think we are looking at many, many projects in this space. Most of them, by the way, are infrastructure projects, so they are long-term projects. They are relatively slow industry, but they are very large projects with many thousands of units. And I think we have a unique value proposition on that space, both in terms of the software and in terms of the hardware that needs to be recognized and sustain a lot of environmental conditions that other devices cannot sustain. And, as I mentioned, between one of our four vertical areas we are investing in, I think in the next year or two, we'll have – it will start to bear fruit.
Operator: Thank you. We've reached the end of our question-and-answer session. I'd like to turn the floor back over to management for any further or closing comments.
Kip E. Meintzer - Head-Global Investor Relations: I'd like to thank you guys for joining us today and we look forward to your calls and seeing you during the quarter, and we'll see you next quarter also. Thank you and have a great day. Bye-bye.
Operator: Thank you. That does conclude today's teleconference. You may disconnect your lines at this time, and have a wonderful day. We thank you for your participation today.